Operator: Ladies and gentlemen, thank you for standing-by. And welcome to the AMN Healthcare First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, the conference is being recorded. And at this time, I'll turn the conference over to our host, David Erdman, Director of Investor Relations. Please go ahead.
David Erdman: Thank you, and good afternoon, everyone. Welcome to AMN Healthcare's first quarter 2016 earnings call. A replay of this webcast will be available until May 19, 2016 at amnhealthcare.investorroom.com following the conclusion of this call. Details for the audio replay of the conference call can be found in our earnings press release. Various remarks and characterizations we make during this call about future expectations, projections, plans, events, or circumstances constitute forward-looking statements. These statements reflect the company's current beliefs based upon information currently available to it. Or actual results may differ materially from those indicated by these forward-looking statements as a result of various factors including those identified in our most recent Form 10-K and subsequent filings with the SEC. The Company does not intend to update guidance or any forward-looking statements provided today prior to its next earnings release. This call contains certain non-GAAP financial information. Information regarding and reconciliation of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release and on the company's website. On the call today is Susan Salka, our President and Chief Executive Officer; Brian Scott, Chief Financial Officer; Ralph Henderson, President of Professional Services and Staffing; and Dan White, our President of Strategic Workforce Solutions. I will now turn the call over to Susan.
Susan Salka: Thank you so much David. Good afternoon everyone and welcome to AMN Healthcare's quarterly earnings conference call. During the quarter, the strong market environment continued and AMN team delivered with exceptionally strong performance. Our results were a continuation of strong organic growth and increase in revenues from our recent acquisition. Consolidated revenue of $468 million grew 43% over prior year and 16% sequentially. Year-over-year organic growth was 28% predominantly driven by volume increases with the remainder from acquisition. Consolidated adjusted EBITDA was $59 million up 76% over the same quarter last year. This reflected a margin of 12.5% which was 230 basis points higher than the same quarter last year. Recruitment and work force optimization is an increasingly critical issue for healthcare organizations today and AMN is well positioned to help our clients to address these challenges with the broadest and deepest solutions in the industry. In addition to the strong growth of our traditional staffing businesses we have also seen significant expansion of our other work force solution which has helped increase our margins over the past year. The appetite for our MSP solutions continues to be strong. In fact, year-to-date we have signed several new MSP contracts and expanded existing relationships. The number of MSP opportunities where we have been verbally awarded and are now in the contracting state is also robust. With positive trends in sight for the future, we believe we are on track to achieve our stated goal of adjusted EBITDA margin of 14% by 2020. But for now, let's bring it back to 2016 and review the first quarter results and outlook for each of our business segments. In our larger segment of nurse and allied solutions, first quarter revenue totaled $298 million and rose 37% year-over-year and 13% sequentially. Approximately of the 30% of the year-over-year increase was from organic growth. The remainder came primarily from the January acquisition of Health Store global which assists rapid response tapping and labor disruptions. All of the businesses in this segment performed very well. The greatest upside to prizes from the quarter came from the travel nursing division and in Health Stores global which had higher than expected revenues from two large projects. The benefits of our leadership position of providing MSP services also continues. With almost 50% of revenue from this segment blowing through MSP client. Our largest division within this segment travel nurse staffing increased revenue 37%year-over-year and 12% sequentially. The exceptional performance was driven by our team's strong execution in a robust environment with a majority of growth coming due to volume increases. The upside in revenue came from higher than expected seasonal positions throughout the quarter which generally come with higher bill rates and bonuses. The typical seasonal decline heading into the second quarter would be a bit more than usual for travel nursing due to the exceptional first quarter. As we begin Q2 demand and placement trends remain very strong. In fact, the last 4 weeks represented the highest placement activity we have seen all year. Setting us up nicely as we head towards the second half of 2016. Our allied staffing business achieved record high revenue in the first quarter growing 20% year-over-year. Demand is above prior year levels providing ample opportunities for continued strong placement trends. For the second quarter the nurse and allied solution segments is expected to be up 20% to 22% year-over-year. As I mentioned earlier the sequential decline is due to the typical seasonality and the travel nurse and the local staffing businesses as well as fewer expected projects. Locum tenants hit another record high and exceeded our expectations with another record high which exceeded our revenue of $103 million of 19% year-over-year and 4% on a sequential basis. The year-over-year revenue improvement was driven by growth in most specialties led by internal medicine, hospitalists, surgery and emergency medicine. The sequential revenue increase was also driven by broad based growth. Our MSP clients remain a focus for this team and now represent approximately 20% of this segments revenue. The demand trends continue to be strong within Locum and we expect second quarter revenue to be up 12% to 14% year-over-year. The sequential increase from the first quarter is a typical seasonal ride. Our third segment is now called other workforce solutions and is comprised of our newer interim and permanent leadership businesses. Our physician permanent and it includes vendor management system and it includes outsourcing and workforce optimization. For these combined businesses first quarter revenue was $68 million. The significant year-over-year increase was driven by 43% organic growth and our acquisitions of BE Cement and the First string, top providers of interim leadership and executive search services. All of our businesses in the segment experienced very strong year-over-year growth for example physician permanent placement delivered a record quarter with revenues up 32% year-over-year driven primarily by higher searches and placements. Our VMS team also delivered outstanding growth with revenue increasing more than 60% for the first quarter of 2015. Avantas which provides workforce optimization services continues to expand and add new clients delivering a revenue increase of more than 50% year-over-year. Recruitment process outsourcing produced strong year-over-year growth but declined from Q4 due to a contract completion and some variability in client hiring. We continued to sign new RPO contracts and we have a good pipeline for the future. Overall for Q2 we anticipate year-over-year growth in revenues across all workforce solutions division. We continue to look at acquisition opportunities in the area for workforce solution so that we will enable to provide more value added services to our clients. The integration of our recent acquisitions is progressing very well and we are beginning to realize the benefits of our teams coming together. The collaboration and cross selling activity has exceeded our expectations at this stage. In addition to our integration efforts we continue to make investments in our core processes and systems in order to deliver greater efficiency and superior service as we grow. In an important step towards this last month we successfully deployed our new end to end front and back office systems in the local staffing divisions. This has been a significant undertaking and set the stage for our ability to bring all of our staffing businesses on to our common platform. I would like to thank and congratulate the AMN team members who have been working so diligently to make this vision a reality. Our strategy of providing the most innovative work force solutions and the highest quality clinicians and leaders requires that we have the most talented and committed team in the industry. Every single day I am in awe of our team and the passion that they have to ensure that we deliver on our promises. Their efforts and the culture of the company is our greatest differentiator on a daily basis. I will come back to you in our Q&A section along with Ralph and Dan but for now I will turn the call over to Brian.
Brian Scott: Thank you Susan and David welcome to AMN team and good afternoon everyone. The company's first quarter revenue of $468 million was 4% above the high end of our guidance with contributions from all 3 business segments. Our gross margin in the quarter was 32.5% of 150 basis points from last year and down 20 basis points sequentially. The year-over-year improvement which will continue to increase in our higher margin workforce solutions and in an improved gross margins in the Locum Tenens segment. SG&A expenses in the quarter grow $97.8 million or 20.9% of revenue. SG&A expenses rose sequentially by almost $8 million due to primarily the additional SG&A of B.E. Smith and the Health Stores global acquisition. Our first quarter nurse and allied segment increased 37% from the prior year and 13% sequentially to $297.7 million. Volume of 8,474 average healthcare professionals on assignment was higher by 17% year-over-year. The remainder of the increase was driven primarily bill rate inclusions, the addition of Health Stores global and one additional bay. Nurse and allied gross margin of 26.6% with consistent with prior year and lower sequentially by 50 basis points. Gross margin in the quarter was a bit below expectations due to increase in insurance and other direct costs. As it relates to health insurance we experienced an increase in the percentage of roll in coverage as well as the increase in average clients per bay including a higher than typical number of large clients. We have and continue to make adjustments to cap these cost increases and expect our margin of the segment to improve in the second half of the year. First quarter of Locum Tenens revenue was up $102.7 million was up 19% from the prior year and 4% sequentially. The year-over-year growth was driven by an increase in the average bill rates and 7% in the number of days still during the quarter. Locum Tenens gross margin of 31% which is higher year-over-year by 160 basis points and lowered sequentially by 20 basis points with the year-over-year increase driven by improved bill pay spreads. Our first quarter other workforce solutions segment revenue of $67.5 million was up a 183% year-over-year and 68% sequentially. The year-over-year gross rate was 43%. Gross margin of 60.3% was lower than the prior quarter and it was mainly due to the first quarter of B.E. Smith. Our first quarter consolidated adjusted EBITDA was up 76% year-over-year and 25% sequentially. The EBITDA margin of 12.5% represented an improvement of 230 basis points over the prior year which was once again driven by growth in our higher margin workforce solution. Gross margin improved in the Locum Tenens business in favorable operating leverage. Reported net income of $25.9 million and diluted earnings per share of $0.53 per quarter. Adjusted earnings per share was $0.60 which compares to $0.30 in the prior year quarter. Cash provided by operations was $35 million for the quarter. This strong cash flow was driven by continued growth in profitability along with a reduction in our day's sales outstanding which was 59 days compared to 64 last quarter and 61 days last year. As I noted on prior call during 2015 we transitioned many of our MSP clients from our legacy VMS to shift wise which led to a slowdown in the payments as our clients adjusted to the process changes. Our back office and sales team have done a fantastic job navigating important conditions with our clients which is now being reflected in our CSO improvement. Capital expenditures for the first quarter were $6.6 million. As of our March 31 our cash and cash equivalents totaled $23.2 million and our total debt outstanding was $377 million. Our quarter and leverage ratio was 1.9:1. Now let's turn to second quarter 2016 guidance. The company expects consolidated revenue of $450 million to $460 million. This approximately 30% year-over-year increase included organic growth of 20%. Gross margin is projected to be approximately 5%. SG&A expenses as a percentage of revenue are expected to be 21.5% and adjusted EBITDA margin is expected to 11.5%. This lower sequential EBITDA margin is due to reduced operating leverage on the lower revenue in the nurse and allied segment. Other second quarter included tax rate of 41%, stock based compensation expense of $2.7 million. Appreciation expense of $3.1 million, interest expense of $2.9 million, acquisition and integration expenses of about $1 million and diluted share count of 49.3 million shares and with that we would like to open up the call for questions.
Operator: [Operator Instructions] Our first question from the line of Tobey Sommer with SunTrust, please go ahead.
Tobey Sommer: Thank you very much, had a question for you about your internal sales generating staff. How much is it up to year-over-year and what are your plans going forward and maybe if you could comment about the opportunity from productivity improvement among the staff right now?
Susan Salka: Thanks Tobey, I will let Ralph handle that. But I have to say first I am incredibly impressed with how well he has done in improving productivity across the board and that includes all divisions. It includes sales producers but also the newer team members we brought on board and you know we have really started to ramp up our hiring last year and certainly seen the benefit from that so I will have Ralph give you a little bit more color on that.
Ralph Henderson: Yes, thank you Susan. Tobey the nurse and allied producers account which includes both the recruiters and account managers was up about 20% year-over-year. I know we have had some quarter, like 30% to 35% but we are starting to see the benefits of those new recruiters and the productivity come up so we don't have to add as rapidly as we did last year and then often our Locum business was about up 6% year-over-year basis for the quarter, similar trends there, individual productivity. To answer your question about capacity within the existing workforce and which go probably in the neighborhood of 15% to 20% below our max productivity per producer. And so there is quite a bit of upside when those new recruiters and new account managers get up to full speed, I think we could really drive some incremental revenue.
Tobey Sommer: Thank you. I was wondering if you can give us an update on VMS in MSP volume that you have kind of underspend as oppose to the direct staffing and filling exposure that you have in the income statement because with the addition of those businesses and the growth that you have - you have a broader glimpse into the market and I wanted to size that up again. Thanks.
Susan Salka: Great, I'm really glad you asked that question Toby because the team here again have really done an outstanding job. I talked about the growth in VMS being more than 60% year-over-year. Our VMS business is now collectively have about $1 billion under management that is flowing through their systems and our MSP programs have about the same. So in the first quarter, our run rate is about $2 billion of gross billings that run through our programs whether it being vendor neutral VMS or our MSP programs. And that's grown nicely, certainly over the last year. I'll have Dan maybe give you just a little bit more color on the growth and MSP specifically.
Dan White: Thanks Susan. Tobey we had a lot of reasons to celebrate in the first quarter. We had new wins in the MSP space of over $50 million in gross span, so that's on top of the numbers that Susan just preferred to. And our pipeline for Q2 looks equally as good, so we're really excited about the growth in that area.
Tobey Sommer: Thank you. My last question, I'll get back in the queue, relates to uses of cash and the balance sheet at this point. With 1.9 times and strong guidance in margins, so you will be generating robust amounts of cash. Are you still in the hunt for acquisitions and are there targets that can move the needle in the businesses that you're looking at now?
Susan Salka: Yes, we are still looking for opportunistic acquisitions that can help us continue to add on additional capabilities in our Workforce Solutions. There are really three categories that we continue to look at. The first is Workforce Solutions. Second would be additional categories where we have gaps and could help our clients more at the leadership businesses that we acquired over the last several months including DE Smith, Millican and The First String are great examples of that because we certainly saw tremendous demand from our clients and we wanted to be able to help them in those areas but we just didn't have that capability internally. So we looked externally and very fortunate to have teams joining. But there are other areas where we would like to add on additional categories and we're still looking at those. And then the third would be consolidation opportunities, this is probably fewer and far between but if there were opportunities to add on additional capabilities to help build these MSP contracts that we're winning and we could keep more of that $2 billion of direct revenue in-house, that's something that we would certainly look at. Beyond now, as you can tell, we're making significant investments internally in our processes and systems and in our people to make sure that we can continue to be more efficient and improve our services levels as we grow, and then of course there is paying down debt.
Tobey Sommer: Thank you. Could I speak one more, the EBITDA margin guidance for 2Q of approximately 11.5% is down 100 bips sequentially, I noticed historically the pattern would be - to be up slightly sequentially. Any particular factors there or does it conservatism? Thank you.
Brian Scott: Tobey, this is Brian. Now as I mentioned in the prepared remarks, it's predominantly just that seasonality in the second quarter and the Nurse and Allied business being down, if you actually - the guidance we gave for gross margin is consistent with the first quarter. And the SG&A, on a relative basis, actually pretty consistent it's expectation in Q2 versus Q1 in total dollars but with that lower revenue it's just - we get a little bit of negative operating leverage. As it relates to prior year, I think there is - every year is little bit different, last year - with such strong growth as we talked about even during the first half of last year, we were still trying to catch up on some of our hiring because the growth was so fast and that may have been more of a driver of that margin from an additionally, in the second quarter of last year we had a pretty large actuarial benefit. And so that was also - I think there was almost 100 basis point impact on the second quarter of 2015.
Susan Salka: The other think Toby is, remember the first quarter was a very nice upside surprise for us. I don't know that I would consider 12.5% EBITDA margin in the first quarter aimed a normal margin. We had some really nice upside in revenues in our Nurse and Allied division, particularly, but all of our business outperformed. And so it just shows you how quickly that can drop to the bottom-line.
Tobey Sommer: Absolutely, thanks for your help.
Susan Salka: Thanks, Toby.
Operator: And our next question is from the line of Jeff Silber with BMO Capital. Please go ahead.
Henry Chen: Good afternoon, it's Henry Chen calling for Jeff.
Susan Salka: Hi, Henry.
Henry Chen: Hey guys, I just had a question on the Nurse and Allied Segment. I understand that there is some seasonal factors looking into 2Q but I was wondering if you could add some more color on what you're seeing in terms of the growth rates ticking down a bit and related to that - I guess what drove the upside and why this slowing for 2Q? I guess that's all the question.
Ralph Henderson: Hey Henry, this is Ralph, I'll handle that one. First, in Q1 we did have quite a bit of project business. So it was about $10 million more than we normally would have experienced in a normal quarter if there is such thing as a normal quarter. So that's part of it. The seasonal decline though on top of that, it's just been buried I think for the last several years as a result of, kind of, the winner needs that occur in our largest states which is in the west coast, primarily, in California. They use more nurses during the period of time and then they pull back their utilization. We have some clients who can drop 100 to 200 FTEs on assignment during that time period. I think it's just been muted, we haven't been able to see it because of either MSP wins or other things. So that's the primary driver there. Those are also done at higher bill rates and norm also - it's a double-whammy if there is such a thing. But - we performed really well on that in the first quarter and which is something to celebrate because that - filling more of those orders at a high bill rates really did help improve our Q1. It's just not something that's available to us in Q2.
Henry Chen: Got it, okay, that's helpful. And just in terms of the adjustments to EPS, I was wondering if you could give us any guidance, just help us model out the difference between GAAP and adjusted EPS for the different quarters?
Brian Scott: This is Brian again. So the amortization of $4.3 million in the first quarter was - is representative of what you'll see through the remainder of the year. And then the other main address we've had has been from an earnings per share has been the acquisition and integration cost that we build over million in the first quarter. We - I said about $1 million for the second quarter and then I would expect to tail-off, maybe more in that $500,000 range in Q3 and Q4.
Henry Chen: And the tax rate they are using for the adjustment?
Brian Scott: 41% on either quarters.
Henry Chen: Okay, got it. Okay, thanks a lot.
Operator: We have a question from AJ Rice with UBS. Please go ahead.
Unidentified Analyst: Hi, this is Brendon [ph], in for AJ. How you guys doing?
Susan Salka: Hi Brendon, good.
Unidentified Analyst: I just wanted to expand a little bit more in the MSP. It sounds like when your competitors well talk about an uptick and it went as well. Is it just safe to say there is just a lot more MSP opportunities out there this time. This year this versus last year and also as a competition for that - heating up little more but kind of same historically been. And then also the $50 million you referenced on the new wins, I'm seeing that just spend right, that's on revenue - that just sort of spend on that MSP client? Thank you.
Susan Salka: So I'll take this, maybe in reverse order and then I'll have Dan jump in a bit. So yes the $50 million is gross billing, the direct revenue that we would hope to be able to bring in-house would be around $30 million. And that's a pretty typical sort of equation as we bring in new MSP contracts that might vary a little bit depending upon whether they are Nurse and Allied or Locum. The majority of the first quarter wins were nursing. As we go into the second quarter, the one's Dan alluded to, there is a combination of Nurse and Allied but also Locum. And then the question around the demand for more Workforce Solutions, MSP in particular, I believe that part of the reason we've seen a pick up is that the consolidation that you're seeing within the industry is driving a higher level need for those organizations to really get their arms around their spending and to make sure that they've got a strong partner to be able to help them understand what, when and how they're spending their dollars on contingent staff. This is what make VMS, but also MSP a very obvious solution for them, but they also want to make sure that they have access to staff as you look forward and they know the shortages are only going to get more severe and more challenging and they're dealing this very high attrition right now, they need to make sure that they have a sophisticated approach to dealing with that. So a lot of the contracts that we're looking at, actually very large contracts, their facilities or systems, I should say that haven't necessarily used MSP programs in the past. I think I'll have Dan to try to add a little bit more color to what we're seeing in terms of competition in the market.
Dan White: Thanks, Susan. Brandon, there was a third part to your question around incremental revenue. Most of the $30 million that Susan referenced will be incremental to AMMD. So where clients that we traditionally have not done a lot of business and geography is that we have not typically done a lot of business. Really proud of that effort. In terms of the clients themselves, we're seeing as Susan said, a lot of folks really looking at trying to get their arms around spend overall. I've seen even more non-clinical request in this area around MSP and I think I would be remiss if I didn't mention also we've had six different expansions form our existing base of clients that are not included in the five new wins I just referred to. So we really are hitting on all cylinders right now.
Unidentified Analyst: And just looking at your organic growth rate to your first quarter, I think it's high 20%-28%, second quarter guiding at 20%, these are against pretty tough comps. Second half, I know you don't give guidance for back of the year. The comps continue to get tougher but you guys are still growing very well, just your general thoughts, if you will, on what you'd expect to see if you look at the back half of the year versus the first half?
Susan Salka: We're very positive the second half. I mentioned that our placement trends have been exceptionally strong over the last month in particular, the highest in nursing for example that we've seen throughout the year. Orders are at very high levels across all of the businesses. That really lines us up well for going into the third quarter because a lot of the placements we're making now are individuals that won't actually even begin their assignments until June or even July. So if we look at the set up that we have going into the second half, we feel very strong. You're right, the comps will get more challenging and we've been very clear that we don't expect that we will be at 28% organic growth rate for the remainder of the year. They will come down as the comps become more difficult, but I think the gross rates that we have will be very strong and will be better than the market. Now, a lot of that is driven because of the strength that we have in our MSP clients in particular.
Unidentified Analyst: Great. Thanks.
Susan Salka: Thanks, Brandon.
Operator: And we have a question from Randle Reece with Avondale Partners. Please go ahead.
Randle Reece: Good afternoon.
Susan Salka: Hi, Randy.
Dan White: Hi, Randy.
Randle Reece: I have a question. We have new fun with your new segment disclosures and then when we brought B.W. Smith down in there on top of it, trying to set expectations for gross margin for the other workforce solution segment seems like a challenge to me. The historical numbers don't seem to be relevant because they were significantly higher. Just wondering embedded in your gross margin guidance for the second quarter, do you have assumptions for the segments?
Brian Scott: Randy, this is Brian. I guess I'd say that generally the margins in the second quarter are not significantly different than the first quarter. We acquired B.E. Smith right at the beginning of the first quarter, so it's an apples to apples comparison going from Q1 to Q2. There could be a little bit of impact facility from mix, but within the segment themselves I would say they're going to be relatively stable quarter-to-quarter. Did you get in the back half of the year? I mentioned Nurse and Allied. We are charging a little bit of improvement, so that would help consolidate in the back half, but that 60% on the first quarter, you're right, it will change some based on the gross rates of the different businesses within there, but I wouldn't anticipate. In the near term you're going to see wide variation there.
Randle Reece: Okay. Last year there was a big sequential improvement in gross margin and Nursing Allied in the restarted members. This year more like flat. Does the blow off of some of that project-related business provide a headwind to gross margin on a sequential basis?
Brian Scott: This is Brian again. In the second quarter, a little bit, but again we also have other initiatives to improve our margin as well. If it is the headwind, it's a pretty small one overall and that's why the guidance we've given for Q2 is the consistent gross margin.
Randle Reece: I'm not going to ask this anymore than this quarter, but this would be helpful in helping interpret what's going on. In the future I will not allow your new segments, but what was the physician permanent placement revenue this quarter?
Brian Scott: It's Brian again. It was about $15 million.
Randle Reece: All right. Very good. Thank you.
Brian Scott: Sure.
Operator: Our next question from the line of Tim McHugh with William Blair. Please go ahead.
Tim McHugh: Yes, thanks. One question, I guess, and I apologize if I missed this. But you made a comment about seeing particularly strong orders in the last month. I guess just qualitative comments, anything you're seeing or hearing differently that I guess explains that?
Susan Salka: We typically see the order levels drop off a little bit towards the end of a calendar year and at the beginning of the New Year as I think many healthcare organizations are trying to understand what the future year is going to bring and they get their budgets level set. We saw that happen as usual and then we started to see orders kick up again in February, in March, in April and have just continued to gain momentum. I think that our ability to have more of those orders in MSP clients also helps us because our fill rates are much higher within our MSP clients, but I'm also going to ask Ralph to jump in and see if he can add any more color on where the orders are coming from and any changes that we're seeing.
Ralph Henderson: Yes. One of the things that isn't reflected and just open orders is the pace of new orders opening. So we feel good about the second half of the year because of the new order opening rate are higher. They're about 20% of the prior year. The open and close fast which is interesting, probably the industry becoming more efficient and us as well filling the orders in fewer days, the actual orders in the last two months are up double digits over prior year. So I think there's three or four trends in there. The last which Susan mentioned, the percentage of MSP is up on the year-over-year basis as well and as you know, we target to fill the MSP orders first, they're our highest margin overall so that's helpful. Probably the last - we haven't talked about this in the long time, Med Surge is the second highest specialty and that's one of the science that our industry is healthy. Med Surge nurses are one of the more plentiful specialties and so when we see Med Surge starting to show up in the top two to three specialties we have orders for, that's a good sign for future growth.
Susan Salka: Tim, probably just a couple other tidbits, maybe just because I think you might find it interesting. It really is geographically widespread. If I think about the top five states where orders have increased it really does canvass the entire country and all coast lines. And then the number of facilities with orders is up double digits. That's important because it gives us more diversity and assignments to offer so that it's not all concentrated. We certainly do have our bigger states, but if you have more facilities and more units with orders, you're more likely to have opportunities for placements.
Tim McHugh: Okay, great. That's very helpful. Just I guess more of a high-level question, but I think one of the concerns on the stock is just statements varies. Most of the public hospitals have made about, I guess trying to find ways over time to reduce their reliance, I guess particularly relatives are recent levels on contingent staffing. What are you seeing in here from them? Obviously I know you just explained the order flow which remained strong, but are you seeing any science of that and I guess just elaborate on I guess just the conversations and interactions you have with people who take that as a strategy or agenda item for them?
Susan Salka: I think what you're describing, Tim, is exactly the reason why we're seeing an increased appetite for workforce solutions programs. Things like MSP, and RPO, and our Avantas team which provides workforce optimization, services and technology, they're wanting to partner with someone who can help them take a fresh approach and a more analytical approach to the way that they think about their contingent staff, but also making sure that they are optimizing their permanent staff and having the right person and the right place and they're not paying over time, they don't need to pay et cetera. So I do think those comments are driving the momentum that we're seeing in our new MSP win and our other workforce solutions. But Dan, can you think of anything else that we should add?
Dan White: Tim, thanks again for the question. I think the first thing that they're looking for whether it's thru VMS that they managed themselves or on MSP that we managed for them is visibility into the problem. So that then they can look at what they can do about that problem whether it's rates, or looking at permanent staff, core staff, taking the analytics and trying to figure out where those shifts need to be physically located - all of that data and analytics and insight is something that they want first and then we're really quite fortunate, frankly, to have the B.E. Smith here because if you think about the leadership and change management that's required by some of these programs, they're perfectly suited to come in and add a great deal of expertise and consultative advice, and maybe even run the program for them while somebody else is really doing something else to attack the same problem.
Tim McHugh: That's helpful. Thank you.
Susan Salka: Thanks, Tim.
Operator: [Operator instructions]. We have a question from Mitra Ramgopal with Sidoti. Please go ahead.
Mitra Ramgopal: Yes. Good afternoon. Just wanted to get a sense. As you mentioned, hospitals are trying to cut cost but clearly a number of the solutions you offer remain very attractive. How does that sort of play into any push-back you might be getting and it relates to say bill rates. Or are you not getting any there?
Susan Salka: Our clients are always wanting to make sure they have the right bill rates and that doesn't always mean being the cheapest because they want to make sure the bill rate reflects a pay rate that will enable them to get the nurse, or physician, or allied professional when they need them. So what we do is educate them on what's happening in the market that could be locally or regionally, but it also is across the country. They are effectively competing against other facilities in other states for that Med Surge or ICU Nurse. So we're able to bring a lot of data and analytics to show them what's happening in the market and ultimately, they choose, where do I want to be placed within the market? We let them know what we think that will result in terms of placement capabilities. So it's much more of a consultative discussion as opposed to just, Give me the cheapest rate you can. Because that's usually not going to solve the challenges that they have. Ralph, can you think of anything else that we should add to that?
Ralph Henderson: The last few years have been very good for bill rate increases, but prior to that, we didn't see a whole lot of movement. So there's a little bit of catch up that's going on. I think we talked about on our last call that we would expect this to start to modify at some point, settle in at about the same increase as physician wages or nurse wages, so that's why I can have 3% to 5% range on a normal basis. I think probably only other thing would be that when we are fitting the MSP process, we go in and we take a look at their existing vendors. They might have a 100 different companies they're working with at a 100 different bill rate. They can implement a program and bring half of those down to the market rate and save a lot of money. That's the benefit of the MSP program, is that it doesn't go to the highest rate or the lowest rate, it goes to the right rate for the marketplace. So those that were - for lack of a better word - overcharging, is where they get their savings from.
Mitra Ramgopal: Thanks. That's very helpful. And Brian, quickly if you can just remind me how much you have available on your facility right now following to B.E. Smith acquisition?
Brian Scott: We've got about $100 million available on the revolver.
Mitra Ramgopal: Okay, thanks again.
Brian Scott: Just incremental volume available. Yes.
Susan Salka: Great. Thank you, Mitra.
Mitra Ramgopal: Thanks.
Operator: Thank you for your question. One moment please. And we do have a question from Mark Marcon with RW Baird. Please go ahead.
Mark Marcon: Congratulations on a terrific quarter and great period here over the last seven or eight quarters. Can you talk a little bit about just drilling down in terms of nurse and allied? The types of placements, the specific types of skills that you're filling because there's some chatter out there about maybe that there isn't as much of a shortage. Obviously your results belie that, but perhaps you can provide even greater depth with regards to the specific areas that you're seeing a lot of demand for?
Ralph Henderson: Mark, this is Ralph. I'll start with the allied business and just talking about specialties. Obviously physical therapy, speech, physical therapy assistance and occupational therapy, they're among the top five to 10 fastest growing jobs in the country and that's our sweet spot. We're very good at filling those types of opportunity. There doesn't seem to be any threat to those that would slow down, I guess, that growth. On the nursing side, ICU Nurses, Med Surge I talked about, Kelly, ER and OR - the last three are kind of important because those also drive hospital volumes. You got to fill the ER and the OR room so you can fill bed. Those are also very, very good sign. Med Surge moving up means more patients in bed because the Med Surge nurses are the primary caregivers in that environment. Those are good. Exec physicians as well. I know you said nursing ally but I can't go without talking about B.E. Smith and the First String - those are a lot of nurse leadership physicians in various department across the organization. So my gut feel is that a lot of retirements going on, maybe more than anyone who thinks the shortages doesn't exist would probably understand as you've seen in the past or some shifting in the part time that's also driving demand. I think Susan covered this pretty well, but the demand is widespread. It's not A-client, it's not A-state, it's really kind of across the board and it's not always tied to volumes. Other things are happening out there. Some of the system volumes, we see their numbers come out. We'll be a little bit surprised that they had a higher number of retirement, their utilization is up despite the volumes being down. Volumes are helpful, they determine the direction we're headed, but they're not the only thing that drives our volume.
Susan Salka: Another thing to just remind ourselves of is that the attrition rate for nurses - and it's really across the boards for physicians and allied as well - are at historical highs. I know you're very familiar, Mark, with the JOLTS data and the number of job openings and job hires which if you look at just the averages for January and February of this year, is that's a 2-to-1 ratio. So for every job filled, there are two jobs that were open. This is the widest gap that we've ever seen as long as they've been tracking these statistics and it's been going up very steadily since the recession. If you don't think there's a shortage, first of all you need to do is probably talk with our clients because they're very frustrated about the fact that they can't fill their permanent jobs and they can't for that matter keep the clinicians that they have in those jobs. So we don't see those trends changing significantly. You could have a slight narrowing of that gap, but quite honestly, that would be fine because last year is an example that that ratio that's currently 2-to-1 was anywhere between 1.5 to 1.8-to-1 and we grew fabulously. So we think that that's another significant driver and it's only probably going to become more challenging as you have more clinicians that are retiring or pulling back, or moving from acute care into non acute care.
Mark Marcon: Great. I appreciate the additional clarity and fully appreciate the full validity of the answer. Can you talk a little bit about some of the regional differences that you're seeing and areas of opportunity for you in terms of expanding even more?
Ralph Henderson: Mark this is Ralph. I will start with the travel nursing business, we're certainly stronger in California than anywhere else Texas, New York, Washington are all very good states. And a large percentage of our MSP revenues are from there. So those are good states for us from population growth, from their stance on healthcare. A couple of big exceptions in there, they are pretty strong proponents of ACA and so probably opportunity for us in the mid-west is not where we see a lot of business. And it's been almost an industry trend that they are dealing with the most frequently used solution in the mid-west and starting to shift towards utilization of travelers there. The recent MSPs we won two of them were in the mid-west, two of the larger systems so I think that will help us there and any person who comes in the door that want to work in the mid-west so it's not going to be expensive for us to sell those jobs. Trying to think of other gaps, we could use more psychiatrists. There are never more of them. Internal medicines of specialties are growing fast, hospitals are growing fast. ER is growing fast on the physician side, we are very good at those. The only difference is there I don't think that there is anything that is driving faster or slower growth there but I am sure there are opportunities out there. I am sure they just aren't standing out. That's great, appreciate the answers, congrats again.
Susan Salka: Thank you Mark
Operator: [Operator Instructions]
Susan Salka: Okay. It looks like all of our questions were answered so we would really like to thank everybody for joining us today and certainly of your continuous support of AMN. We would also like to wish all of the moms and their families a very happy mother's day on Sunday, we hope you have a wonderful celebration and we look forward to updating you on our progress next quarter.
Operator: Thank you ladies and gentlemen this will conclude the teleconference for today. Thank you for your participation and using AT&T Executive Teleconference Service. You may now disconnect.